Operator: Good day and welcome to the Duke Energy Second Quarterly Earnings Call. Today's call is being recorded. At this time, I would like to turn the conference over to Bill Currens. Please go ahead.
Bill Currens: Thank you, Randy. Good morning, everyone and welcome to Duke Energy's second quarter 2014 earnings review and business update. Today's discussion will include forward-looking information and the use of non-GAAP financial measures. Slide 2 presents the Safe Harbor statement, which accompanies our presentation materials. A reconciliation of non-GAAP financial measures can be found on duke-energy.com and in today's materials. Please note that the appendix to today's presentation includes supplemental information and additional disclosures to help you analyze the company's performance. Leading our call today is Lynn Good, President and CEO along with Steve Young, Executive Vice President and Chief Financial Officer. After our prepared remarks, we will take your questions. Other members of the executive management team will be available during this portion of the call. A few weeks ago, we announced the launch of the Duke Energy Investor Relations App, which can be downloaded for free in the App Store or Google Play. This App allows those of you on mobile devices to easily access and download some of the company's most commonly used investor relations materials including press releases, SEC filing, presentations and webcast. All of this morning, second quarter earning materials have been uploaded to the App in addition to being available on the company's website. With that, I'll turn the call over to Lynn.
Lynn Good: Good morning and thank you for joining us today. Earlier today we've released the results for another strong quarter. As a result of our financial performance for the first half of the year, we have increased our 2014 adjusted EPS guidance range by $0.05 to $4.50 to $4.65 per share. I'm very pleased with how we are executing our growth strategy, delivering on our commitments and building positive momentum for the future. July marked the second anniversary of the merger between Duke and Progress. As a result of great focus and team work, we've exceeded expectations from the combination. After two years, we have achieved 45% of our total five year fuel and joint dispatch savings commitment for Carolina's customers. We've exceeded our original non-fuel O&M savings target and we recently completed the eighth required transmission project, ahead of schedule and under budget. We believe the combination continues to deliver significant value for customers and shareholders. As we leverage our scale and operations and in capital deployment. This morning, I would like to update you on the progress of our growth projects, our efforts to maximize value from our commercial portfolio and the status of our efforts around coal ash management and the operational performance of Edwardsport. Then I will turn the call over to Steve to discuss the specifics of the quarter. First growth, for the 5-year period from 2014 through 2018, we are targeting between $16 billion and $20 billion of growth investments. These investments include new generation, infrastructure projects and regulatory compliance initiatives, all of which underpinned are 4% to 6% long-term earnings per share growth rate. The investments is outlined on Slide 4, allow us to meet the needs of our customers and grow the company well into the future. We have made significant progress to advance our portfolio of new generation projects including gas fired generation in Florida and South Carolina and renewable generation in our commercial and regulated businesses. In mid-May we announced plans for three major constructions projects in Florida as outlined on Slide 5. These projects represent a total investment of about $1.9 billion and include a 1,640 MW combined cycle plant in Citrus County. Two new combustion turbine plants that are existing Suwannee plant and an operate project at our Hines Energy Complex. These projects are expected to be in service by the end of 2018. The Florida Public Service Commission will hold hearings on these projects later this month, with an order anticipated this fall. Next, turning to South Carolina we received commission approval in April for our proposed 750 MW Lee combined cycle natural gas plant. The plant is expected to be operational in late 2017 and Duke's share of the investment is expected to be approximately $600 million. Turning to Slide 6, while provide an update on our renewable growth investments. Through 2018, we are targeting total investments of around $2 billion in our regulated and commercial renewable businesses. We presently have 400 MW of wind and approximately 100 MW of solar under construction in our commercial businesses. In a regulated business, we were encouraged by the strong response we received to our solar RSP in North Carolina and are presently negotiating power purchase agreements and ownership options for approximately 300 MW of regulated solar generation. We are also pleased with progress in South Carolina, where the state recently passed comprehensive solar legislation to encourage development of renewable generation. This legislation followed a yearlong collaborative process with important environmental stakeholders. We expect to invest in or incentivize renewable generation of up to 3% our peak load capacity by the end of 2021 representing approximately 150 MW. The law also establishes a process for the commission to review net metering rates, which we expect to occur over the next nine months to 12 months. We will continually to work collaboratively with all interest stakeholders as this legislation is implemented. As summarized on Slide 7, last week we announced an agreement to purchase the North Carolina Eastern Municipal Power Agency's minority ownership and certain existing Duke Energy Progress plants. In all about 700 MW of nuclear and scrubbed coal generation that we already operate. The asset purchase price is $1.2 billion and we would also enter into a 30-year full requirement wholesale contract to supply power to NCEMPA. This agreement provides benefit to both the customers of Duke Energy Progress and the members of NCEMPA. If approved, this transactions would be one of the largest municipal power plant transactions on record. Under the agreement, we are required to close the transactions by the end of 2016. This project is incremental to the capital plan that we shared with you in February and provides additional support to our long-term earnings per share growth objective of 4% to 6%. The ultimate annual earnings contribution from this investment will be dependent upon the timing of closing, appropriate regulatory treatment and how the company chooses to finance the transaction. We currently expected full year earnings, uplift of between $0.05 and $0.10 per share. There are a number of important regulatory milestones that are critical to the successful execution of this purchase. We expect to start this process with FERC filing at the end of this month and will provide updates as the approval progresses. Let me also highlight a couple of infrastructure investments that we are developing. As you know last year, Indiana passed [indiscernible] 560, which was design to streamline implementation and recovery for transmission and distribution infrastructure needs, we plan to make the filing this year resulting in potential investments over 7 years of between $1.5 billion and $2 billion. And in April, Duke Energy and Piedmont Natural Gas jointly issued a solicitation for a major new natural gas pipeline into North Carolina. We received initial bids in June and expect to announce the winner within the next several weeks. While Carolina's utilities expect to enter into a gas transportation contract with the pipeline and we are pursuing an ownership interest in the pipeline underpinning the projects financial liability. The RFP has an initial capacity of at least 900 million cubic feet per day with a targeted and service date of late 2018. We continue to make progress with initiatives related to our non-regulated commercial portfolio as outlined on Slide 8, the exit of the Midwest merchant generation business is progressing. We are in the final phases of due diligence and expect to announce the winning bidder in the next few months. The closing of any transactions is likely to occur in late 2014 or early 2015. Use of proceeds for this transaction are under evaluation and could include a combination of funding growth investment opportunities, avoiding future holding company financing or a stock buyback. We are committed to redeploying the proceeds in a manner that maximizes shareholder value and expect the transaction to be accretive to our adjusted earnings per share beginning in 2016. We are also making meaningful progress on the evaluation of our international business; we are considering a wide range of options including opportunities for growth as well as tax efficient strategies for utilization of our $1.7 billion in offshore cash. We expect to complete this review late this year or early 2015. Next turning to Slide 10 let me provide an update on Dan River. As you know, we have taken responsibility for the accidental discharge of coal ash in early February and have been working on cleanup activity at the site and the river. Our work at the site and the river has been under the direction of the EPA. Last month, we announced that we have met the EPA's requirements to-date, but we'll continue to monitor the rivers' water quality. Our overall goal is to ensure the long-term health of the river. Cost incurred on cleanup activities were approximately $20 million of the first six months of the year. We do not expect total cleanup cost related to the Dan River incident to be material. We are cooperating with and defending the company in ongoing investigations resulting from the Dan River accident. We have also made progress on our comprehensive plans around the near term and longer term management of each of our coal ash basins. We are committed to developing a scientific engineered solution for each site that will protect the environment and allow us to continue to provide safe, reliable and cost effective electricity for our customers. We expect to finalize the development of comprehensive closure strategies by year-end. Ultimately our plans will need to be in alignment with any final legislation in North Carolina and upcoming federal rules for coal ash, which were expected by the end of the year. Our Ash Basin closure cost will be dependent upon the methodology selected and approved for each site. We will continue to refine our projections for closure cost and provide updates as our plans are finalized. We believe the recoverability of coal ash based in closure cost will be determined by the Carolina's Commission. Next let me provide a brief update on the recent legislative session in North Carolina where the General Assembly introduced legislation addressing the management in closure with Ash Basin. The legislator did not come to an agreement on a compromised bill and adjourned last week. The adjournment resolutions contemplate the coal ash legislation could be considered during a reconvened legislative session later this month or later this year. It's important to highlight, that this delay will not impede our actions or our commitments to working constructively with all parties to continue advancing our comprehensive plans for the long-term management of coal ash in North Carolina. Next let's turn to Slide 11 and our Edwardsport plan in Indiana, which achieved commercial in service in June of last year because Edwardsport is a large and complex project [indiscernible] made it that it would build up to its long-term level of availability over 15 months. I was at the site last month and I'm pleased with the progress as well as the dedication of the plant staff. Plant output and overall performance have steadily improved since early this year. When extreme [indiscernible] or cause operational challenges. May, was the strongest month we have seen for gasification to-date and June was not far behind. In fact, gasification availability during the second quarter was around 75%. July's results were also favorable with gasification availability coming in around 80%. We have completed GE's rigorous performance testing protocol and have validated all major technology systems are working. We are reviewing the test data received from GE and preliminary results were positive. During testing we achieved the nameplate capacity of 618 MW and had encouraging preliminary results on heat wave. The right side of the slide outlines a status of the regulatory proceedings associated with the plant. The Indiana Commission has combined two semi-annual rider updates, IGCC-12 and IGCC-13 and will hold hearings in November. IGCC-11 is fully briefed and we awaiting the commission order. The commission will examine the operational performance of the plant in a normal course of reviewing our semi-annual rider filings, while any replacement power cost resulting from the operational performance for the plant are reviewed in connection with the quarterly fuel cost proceeding. We will continue to update you on our operational progress in these important regulatory milestones. Now I'll turn the call over to Steve to discuss our financial performance for the quarter.
Steve Young: Thank you, Lynn. Today I'll focus on three primary areas. First I'll discuss at a high level, the primary drivers to our second quarter results and update you on the status of our earnings guidance range for 2014. Second, I'll discuss our volume trends in the economic conditions within our service territories. Finally, I'll close with our progress toward achieving our overall financial objectives. Let's start with the major second quarter earnings per share drivers as outlined on Slide 12. This morning, we announced 2014 second quarter adjusted diluted earnings per share at $1.11, which exceeds 2013 second quarter results of $0.87 per share. We saw higher quarterly earnings at each of our three business segments. As expected, quarterly results were supported by revised customer's rates. Growth in our regulated wholesale business and higher PJM capacity prices. We also experienced favorable weather and a lower effective tax rate during the quarter. As Lynn just mentioned due to the strong results experienced through the first half of the year. We have increased our 2014 adjusted EPS guidance range by $0.05 to $4.50 to $4.65 per share. I will discuss more details on our revised guidance range at the end of my presentation. On a reported basis, the company earned $0.86 during the quarter compared to $0.48 in the second quarter of 2013. A reconciliation of reported results to adjusted results is included the supplemental materials. Adjusted earnings at our regulated utilizes segment increased by $0.13 per share during the quarter. We continue to benefit from increases associated with our 2013 rate cases in the Carolina's an increases from newly contracted wholesale customers. We experienced favorable weather this quarter compared to below normal weather last year in the Carolina's cooling degree days were around 10% higher than average. The utilities experienced lower effective tax rate during the quarter driven by a State tax settlement that resulted in a favorable adjustment to deferred taxes. O&M cost were also favorable during the second quarter. Partially driven by a prior year donation associated with Duke Energy Progress's rate case and benefits from nuclear average cost levelization [ph]. Absent these drivers our cost control efforts have helped us maintained flat O&M compared to last year's quarter. We continue to drive cost out of the business through our merger related initiatives and are targeting flat O&M cost through 2016. International Energy's quarterly results were $0.09 per share higher this year, primarily driven by a $0.07 favorable tax benefit resulting from a reorganization of the company's operation in July. As a result of this benefit, we are lowering our overall consolidated adjusted effective tax rate assumption for 2014 to between 32% and 33%. National Methanol's contribution for the quarter was $0.02 higher than last year primarily due to an extended maintenance outage that occurred in 2013. Commercial Power's adjusted earnings were $0.02 supported by increased wind and solar volumes from new projects coming on line and higher output from existing projects. Higher PJ and capacity prices drove increased results from Midwest Generation. More detailed quarterly earnings drivers for each of our segments are included in today's presentation materials and press release. Before moving on, let me briefly update you on hydro conditions in Brazil. We continue to closely monitor reservoir levels as we have significant contracted hydro capacity. During the second quarter, the rainy season came to an end and reservoir levels remain low. In order to help preserve reservoir level, Brazil's regulatory authorities continue to dispatch thermal generation in anticipation of below normal rainfall and challenging reservoir conditions. We reduced our contracted capacity levels for 2014. This reduction in contracted levels along with higher short-term pricing has helped us to mitigate significant negative financial impacts from the drought, so far this year. Slide 13, highlights our retail customer volume trends for the quarter and the economic conditions within our service territories. Overall weather-normal retail customer load for the quarter, was 0.4% higher than 2013. This was in line with our overall expectations for the year. We evaluate the economic growth of our service territories of the longer term periods; on a rolling 12-month basis weather-normal retail customer load was 1.6% higher. We continue to be encouraged by broad trends in the economy such as higher median household income levels, low unemployment rates and new customer additions. We remained confident in our longer term growth expectation of around 1%. Economic activity is expected to continue expanding over the remainder of the year. In fact, consensus estimates expect GDP growth to be around 3% in the second half of 2014. Employment activity in the states we served continues to improve with unemployment percentages at or below the US average, in four of the six states we serve. In June, approximately 20% of total US non-farm job growth, which from state served by Duke Energy. Next let me highlight some of the trends, we are seeing in each of our customer classes. First; our resident customers with quarter-over-quarter growth was essentially flat. Household income and available credit heavily influenced this customer class. While these indicators have not yet recovered to pre-recessionary levels. They have shown improvement over time. During the quarter, we continue to experience positive growth in the number of customers that our regulated utilities of around 1%. However, usage per customer was unfavorable during the quarter, largely offsetting the growth in the number of customers. Next, our commercial class experienced quarterly growth of 0.5%. Office vacancies and unemployment rates continue to improve leading to growth and retail sales. Continued higher sales were seen in education, health care and hospitality sectors when compared to last year. And finally, the industrial sector experienced growth of 0.8% in the second quarter. We continue to see encouraging strength in the automotive, construction and metal sub sectors. Economic development within our service territories remains active. Our affordable electricity rates help us track businesses to our service territories. Our economic development teams are actively pursuing potential projects within our six-state footprint which could represent up to $10 billion in new investments and over 20,000 jobs. So far this year, several new business relocations and expansions have announced in our service territories representing around $2.5 billion in investments and more than 5,000 new jobs. We are optimistic about the sustainability of the economic recovery across our service territories. Based on the growth that we've experienced over the ruling 12-month basis. The individual quarters may vary, but the longer term economic trends are generally favorable. I will close with our financial objectives for 2014 and the longer term is outlined on Slide 14. These financial objectives have remained consistent over time. We have an established track of achieving each of these objectives. I'm very pleased with our financial performance through the second quarter. To-date we have benefited from revised grades in the regulated businesses, favorable weather, solid growth in sales volumes and favorable impacts of tax rates. Additionally, we continue to drive more efficiencies across the company. We still have our third quarter ahead of us, which is historically our most significant quarter. In July, we experienced mild weather and do not yet know, if that trend will continue into August. We also expect to accelerate the recognition of certain expenses in to 2014. Primarily, a coal unit outage in the Carolina's as well as some cost to advance our coal ash management work. Despite uncertainty with the weather for the third quarter, we are pleased with the strength of our results to-date and increasing our 2014 adjusted EPS guidance range. We will update you on our progress, when we reported our third quarter results in early November. The balance sheet remains strong, the strong affords us the flexibility to invest in our business and grow our dividend without the need for new equity issuances, through 2016. We are focused on growing the dividend, which is central to our investor value proposition. In June, our Board of Directors, approved an approximate 2% increase to our quarterly dividend. This marks the seventh consecutive year of annual dividend increases. We expect to move into our targeted long-term dividend payout ratio range of 65% to 70% in 2014, allowing greater flexibility in future dividend growth. Finally, as Lynn discussed we are focused on executing our growth initiatives as well as our cost management efforts. We are well position to achieve adjusted earnings per share growth within our 4% to 6% target through 2016. Additionally, some of our growth investments provide support for growth beyond 2016. Now I'll turn it back over to Lynn.
Lynn Good: Before closing, I thought I would briefly comment on the EPA's recently proposed rules for regulating carbon dioxide emissions from existing power plant. Since issued in June, we have been evaluating this complex rule in engaging with our state regulators. We intent to remain actively engaged in the tool making process. We support policy that will result in reasonable decreases in greenhouse gas emissions overtime, while balancing impacts to our customers, the economies of our service territories and the reliability that our customers count on. We have made significant progress over the last decade in reducing the environmental impact of our generating facilities. We have invested over $9 billion in new generation. Allowing for the retirement of over half of our coal fleet. And our remaining coal units, we've invested over $7 billion on environmental control equipment. As a result, through 2013 we've reduced our carbon emissions by 20% from 2005 levels. Well also achieving two reductions of 84% and NOx reductions of 63% during the same time period. As we engage in this proposed regulation, our comments will focus on ensuring that this progress is recognized and that these investments continue to deliver value to our customers over the remaining useful life. It's important that our customers receive the full benefit of our early actions, not just actions since 2012. The treatment of nuclear both new and existing is also a clear area of focus for us. The complexity of this rule requires careful study and evaluation, not just of each potential building block, but the interaction of all elements together. We expect significant comments as well as legal challenges to the rule and we will remain engaged throughout the development of this important rule making. In closing and we are executing strategy in a thoughtful and disciplined way, that continues to build momentum and deliver value for our customers, communities and shareholders. And we are developing growth opportunities as we position the company for the future. Now I'd like to open the lineup for questions.
Operator: Thank you. (Operator Instructions) We will now take our first question from Greg Gordon from ISI Group. Please go ahead.
Greg Gordon – ISI Group: So, bit of a strategic questions rather than focusing on the quarter because it was clearly, it was a great quarter for you guys, congrats on that.
Lynn Good: Thank you.
Greg Gordon – ISI Group: There's always been this issue, with strategic review of Latin America, which is really like, okay what are we going to do with the money -- back ? But now, you've got the power plant consolidation investment potential further investment in major pipeline, the potential for the necessity of incremental major investments to remediate your ash ponds. So can you talk about how the sort of burgeoning necessity for capital in your core business might change, the way you're looking at, your Latin American business?
Lynn Good: Greg, the way I would respond to that is, we've had growth aspirations in the range of the $16 billion to $18 billion to underpin our 4% to 6% growth rate for some time and so we've been analyzing all of our strategic evaluations in the context of positioning the company to grow and so when we talk about, the strategic analysis of international, when we look at decision to strategically outfit the Midwest generation, all of that review has been within the context of better positioning the company to grow and deploy capital in the way, that it adds value. So I would think of all those things together and we will provide you with further updates on our thinking and progress on these initiatives as they occur.
Greg Gordon – ISI Group: Can you refresh our memories, as to your last public comments on the tax efficiency of bringing back the $1.7 billion?
Lynn Good: We haven't made any specific comments, Greg on that item. Let me just maybe give you a little bit of background. We did bring home $700 million in a very tax efficient format, in December of 2013, so that was $700 million basically a basis reduction initiative. We now have a $1.7 billion offshore and we are continuing to look for ways that we can put that cash to use in a tax sufficient manner, so that study is underway as part of the strategic analysis. So you can think of cash utilization supported the dividend and growth is being the three primary objective.
Greg Gordon – ISI Group: Okay, my last question when you gave the range $0.05 to $0.10 as the annualized earnings impact of the power plant consolidation, what are the financing assumptions that underline that, does that assume sort of debt in equity at sort of consistent with the balance sheet of the Progress Energy Carolina's or some other variable.
Lynn Good: So depending on financing structure, it would fall within that range, Greg depending on how much equity is included and how is debt financed. Steve, would you add to that?
Steve Young: Yes, I would point out that roughly one half of the purchase price would be finance through Opco debt, so we are talking about roughly $600 million that would be of the equity piece that could be financed through cash or through HoldCo debt, I don't envision the need to issue common equity to deal with this.
Greg Gordon – ISI Group: Great. Thank you, guys.
Lynn Good: Thanks, Greg.
Operator: We will now take our next question from Dan Eggers from Credit Suisse. Please go ahead.
Dan Eggers – Credit Suisse: Just extending maybe little one on Greg's line of question, when we think about 4% to 6% earnings growth range through 2016, I guess when do you think you're going to, maybe reevaluate or maybe put more time horizon on that number and then B, with the pipeline out there, with kind of the redeployment of the money's from NCEMPA and selling commercial generation that sort of stuff, what's going to swing you within the 4% to 6% as you see it right now?
Lynn Good: To take the two questions, Dan we will continue to follow our traditional approach on guidance and updated in February, I think we've been in 3-year range for the last couple of years. So that we have provided capital for a 5-year period, so we will continue to update that. I think, the drivers for growth include capital investment and both the regulated business as well as load growth, cost efficiencies, additional renewable growth, which would be both regulated and non-regulated and so, as I think about variables, they can impact earnings over a short or a long-term period. Load growth comes to mind, ability that control cost come to mind and the efficiency and magnitude of capital deployment.
Dan Eggers – Credit Suisse: Okay and then I guess on the coal ash issue, with the EPA rules, stating out there are kind of variety of different fingers in the pot. When do you think, we are going to finalize to have visibility into full capital obligations or capital expenditures and kind of timeline for putting that capital to work?
Lynn Good: The EPA rule that would be [indiscernible] Dan, is expected in December the designation of hazard or non-hazard I believe the timeline for that remains. The plans that we have put forward at this point, have us in a range of $2 billion to $2.5 billion for ash basin closure that's consistent with our historical range of waste disposal updated for the comprehensive plan that we put forward in March. So I think, there are couple of things to watch in terms of refinement of these numbers. One being, we will continue to develop power strategic approach for closure of all of the basins and we are targeting the end of this year. We also have the delay in the legislation in North Carolina, which could be finalized this year that would impact that. And then, I would expect all of these plans to come under review by the regulators in North Carolina over the years to come, which could continue to refine it. So I think, we will reach milestones over 2014 and 2015 for our plants here in the Carolina's and then, it will of course keep you updated as these milestones occur.
Steve Young: And I would also add that, the expenditures related to this activity span many, many years. This is well over a decade to deploy these funds.
Dan Eggers – Credit Suisse: Okay, great and I guess, last question is kind of on load growth. I feel like the last couple of quarters there is more optimism that maybe demand growth is going to sneak above the 1% target you guys have talked about this quarters in the little less enthusiastic unlike for you guys, but across the industry. Can you just talk about trend line and what you're seeing in, if you think the second quarter is more indicative for what you saw, in the preceding quarters is maybe where trend was?
Steve Young: Well, Dan you've hit on the challenge of looking at quarterly data. Certainly the first quarter of 2014 was probably heavily influenced by weather. We tried to pull the impact of weather out, but that's as much hard as science. The second quarter, the results were lower in line with our forecast, but when you look at a 12-month rolling average, you see that we are around 1.6% growth. The broad economic indicators continue to improve and we look at unemployment number of customers added in our service territories household, median household incomes, those kind of things. Overall, we do feel like it is improving, but given the volatility that we continue to see quarter-to-quarter we are not ready to move beyond the 1% long-term growth. We will be updating our forecast normally in the fall and see what it looks like then.
Dan Eggers – Credit Suisse: Great. Thank you, guys.
Operator: We will now take our next question from Jonathan Arnold with Deutsche Bank. Please go ahead.
Jonathan Arnold – Deutsche Bank: Firstly, this one question on what you said about the drought in Brazil. Steve, I believe you said you've taken down the sales commitments and that had substantially mitigated what would have been more negative impact. Can you give us a sense of how much of the residual negative that still in the 2014 number as you see it now, if any? And just a bit more some more numbers around what you said that?
Steve Young: Well our contracting strategy has paid off benefits so far in the first two quarters of 2014 as we mentioned. We are not in the position to predict, how the final two quarters will come out. We are out of the wet season. The reservoir levels are low, during the low 30% and this is the time of year, where they will decline will come into a new rainy season in the fall and that will be critical to the final results for the year. The contracting strategy of lowering should benefit as well throughout the year, but again it's hard to say where those reservoir levels are going to be and what hydro capacity is going to be available to serve the commitments we have at this time. We'll just have to wait and see.
Jonathan Arnold – Deutsche Bank: Through the first two quarters, is it bad to say, your actions mitigated any negative impact or there was still some drag embedded in the numbers?
Steve Young: Well, the first two quarters certainly are contracting strategy was beneficial to us and perhaps I'm not understanding your question. I don't know enough to predict the final two quarters.
Lynn Good: So Jonathan, what I would add is, we were in line with our expectations for the first two quarters for Brazil and it's the items that Steve talked about, the lower contracting gave us the ability to take advantage of higher spot prices in the first two quarters.
Jonathan Arnold – Deutsche Bank: You kind of ended up about on plan and your comment as you avoided, what you otherwise been a loss.
Steve Young: That's true.
Lynn Good: For reductions and earnings, yes.
Jonathan Arnold – Deutsche Bank: Yes and then secondly, could you comment at all about the recent reports that you'll involved in the late stages of [indiscernible] sale in Colombia, just in the context of your comments about being focused on potential growth avenues in international business?
Lynn Good: Jonathan, we are not involved in the late stages of bidding for [indiscernible].
Jonathan Arnold – Deutsche Bank: Okay, thank you for that and I think, one other thing I just wanted to clarify, you mentioned that NCEMPA transaction is, incremental to 4% to 6% is that more in the sense of, it's incremental beyond 2016 or is that statement more, this could push you above the growth rate in 2016, how should we've going to interpret that?
Steve Young: I would think about the NCEMPA investment as giving is confidence in the 4% to 6% growth rate. It's the type of capital the discretionary type capital projects that we are pursuing and certainly this will provide earnings over its life of the wholesale contract with municipalities beyond, but I would say, it gives us confidence in the growth rate.
Lynn Good: Jonathan, the incremental comment that we made, its incremental of the capital that we shared with you in February.
Jonathan Arnold – Deutsche Bank: Okay.
Lynn Good: We've been trying to increase that growth from the $16 billion to the $20 billion by identifying and pursuing these growth initiatives, so this is one of the key ones.
Jonathan Arnold – Deutsche Bank: So that whole Slide 7, should been seen as sort of the difference between $16 billion and $20 billion effect of it?
Lynn Good: That's correct. 
Steve Young: That's correct.
Jonathan Arnold – Deutsche Bank: Thank you.
Operator: We will now take our next question from Michael Weinstein from UBS. Please go ahead.
Julien Dumoulin-Smith – UBS: Hi, good morning. It's Julien here, actually.
Lynn Good: Very good. How are you, Julien?
Steve Young: How are you, Julien?
Julien Dumoulin-Smith – UBS: I wanted to follow-up on a few items here. First with regards to the pipeline RFP, could you talk a little bit about potential ownership interest and also talk a little bit how that might be structured to what level, you might take that ownership, etc.?
Lynn Good: Julien, it's premature to go into any more specifics on this, as we pursue the solicitation. We did pursue of course options, we were looking for transport capacity for the utilities, so were also looking for an ownership interest and so that will be a part of our ongoing discussions as we finalize, this solicitation, but I don't have anything more specific to share at this point.
Julien Dumoulin-Smith – UBS: Fair enough and then moving on to the coal ash side, could you give us a sense, one; where the conversation is today with respect to the total spend versus what you disclosed previously and then secondly as you think about that, how does it compare, what are the key moving parts here as we look towards negotiations in the back half of the year, for total spend?
Lynn Good: Julien, you may recall and it's actually in this slide deck as well in the appendix. We put forward a range of spending for North Carolina around the ash basins that began in the left hand side of the chart. I'm referring you to Slide 40 at this point, on the left hand side of the chart representing our historic numbers for waste environmental spending updated for the plans that we put forward in March, 2014 following Dan River. On the right hand side of the page, would be a full excavation of all ash and North Carolina as well as conversion to zero liquid discharge. There are expectations, is that we will end up somewhere in between those two numbers overtime and as I shared in the comments earlier in the call. Those final estimates will be revised as closure strategy and the methods are developed and approved. Right now based on the commitments that we've made, I would say we are in the range of the 2 to 2.5, but these numbers will be refined as additional work, engineering, science, approvals, etc proceed.
Julien Dumoulin-Smith – UBS: All right, thank you and then moving back to the international side, if you don't mind. Could you talk a little bit more about how to make any potential transaction accretive? And specifically what I'm getting at is how do you think about potential partnerships and driving synergies out of any deal? Perhaps is there an opportunity used the offshore cash back to invest in the growth as a way to perhaps transform the business.
Lynn Good: I will say, all options are on the table, when we do a review of this sort looking for ways, that we can streamline the business, looking for ways we can drive growth, optimize cash, etc. so I would say all options are on the table at this point and as we progress and reach final conclusions will of course provide an update. We are targeting end of 2014, early 2015 at this point.
Julien Dumoulin-Smith – UBS: And just to be clear, a little nuance there, does the current hydrological situation drive timing or consideration of transaction etc?
Lynn Good: No.
Julien Dumoulin-Smith – UBS: Okay, excellent. Well thank you very much.
Operator: We will take our next question from Michael Lapides from Goldman Sachs. Please go ahead.
Michael Lapides – Goldman Sachs: Just a couple of questions about the good all fashion regulated side of house. When you think about rate cases, over the next year? What new ones do you anticipate filing across the system?
Steve Young: Michael, in terms of looking at our rate cases, we had a lot of activity in 2013 in the Carolina's and Ohio as well. So we don't have any base rate cases planned for a while. Our settlement in Florida, sets up a lot of trackers for significant cost, but keeps us out of base rates for a while. So we don't have any plans through 2016 for base rate increases. We may look at our Duke Energy Progress, South Carolina jurisdiction as a potential area. We'll keep an eye on that, but nothing in the near term given all the activity that we concluded in 2013.
Michael Lapides – Goldman Sachs: Got it. One other questions and this is about the potential new projects would you developed down in Florida as well as the NCEMPA acquisition you've disclosed. One the Florida one, there is a lot of opposition to those developments because there still is, Florida is one of the States, where there are still a lot of non-regulated merchant, combined cycles and peekers [ph] kind of hanging around, guys who are obviously willing to sell into a utility either RFP or actually sell the asset to a utility like yours. Just curious in terms of how you think regulators will look at that option, with kind of the cost benefit analysis and also if you can address on the NCEMPA process there was a lot of going back to the progress merger, there was a lot of back and forth with the FERC bell [ph] potential market power issues in the Carolina's, how would think acquisition kind of screen in terms of market power in the Carolina's?
Lynn Good: Taking both of those, Michael on Florida. I think you've raised a key question on whether or not the investments that we've put forward represent the lowest cost option for customers and that will be the center piece of the regulatory review in August. We believe that, the process that we've undertaken, which include in RFP for the Citrus County combined cycle will support that what we put forward is the lowest option, but I think that will be the center piece of the regulatory proceeding that will occur, this month continuing through the final approval process. On market power, we report very closely at this. We do not see a market power issue with the NCEMPA transaction. A couple of things I would note, is we are acquiring generation and load of a comparable amount. So we are not acquiring excess generation and the fact, that we already operate these units has us in a position, where the dispatch of the units will not change as a part of the acquisition. So those are both, we believe key considerations in the market power analysis.
Michael Lapides – Goldman Sachs: Got it. Thanks, Lynn. Much appreciated.
Operator: We will take our next question from Jim [indiscernible] from TRT Capital. Please go ahead.
Unidentified Analyst: I've got a couple of simple questions. One is on the dividend, I know you have this targeted 65% to 70% payout ratio, but as I do some of that math. It seems like you still have a little bit of room to grow above the 2%, what do you think about raising the dividend better than the 2% that you have been doing thus far?
Steve Young: Well, as we've said understand the value of the dividend to our overall proposition. We are now moving into our target range, we've been above at for a while. But that gives us as we've said, as time goes forward. We can continue to earn as we should, that should give us more flexibility and we will certain be looking at increasing the dividend growth rate. Ideally, we would like to get more in line with our earnings growth rate, but it remains to be seen when and how that happens.
Unidentified Analyst: The second quick question is, on the 4% to 6%, thank you for the answer. Second question is one the 4% to 6% growth rate. Can you just refresh our memory is to what, is the base year on that, is it 2013?
Steve Young: Yes, it's the midpoint of the projected earnings range for 2013.
Unidentified Analyst: Right, okay and then last question, is on your Slide number 4, you talk about the new growth investments is $16 to $20 billion over this period through 2018, one of which buckets is new generation is $6 billion to $8 billion, but if just add the numbers up, on the Florida combined cycle lead and the renewable everything, I come up to a number that's less than $6 billion, how should I think about that remaining $2.3 billion or so, to get to that high end of that $8 billion range, so that place hold is that you're just not ready to talk about publicly at this point in time?
Steve Young: Well, I think you can think about our businesses as a whole and kind of zero in on some things. We are going to need to build some new facilities in the Carolina's to meet load growth in the back end of the year, at 1.5% peak load growth, you're going to be growing 300 MW, 400 MW is the Carolina's every year. So every couple of years, you're going to need combined cycles or at least simple cycle CTs in the Carolina's. So there is a fair amount of generation that's going to come in that area, as well. So that will fill a lot of that gap there.
Unidentified Analyst: Okay, so the gap is accounted for, it's not something that we should be looking for in subsequent announcements, is what you're saying?
Steve Young: That's correct and also some other categories of spin that are in the total number compliance with EPA regulations. A lot of math work to be done in the next few years and a lot of nuclear related expenditures particularly related to Fukushima. So there is a number of those types of investments that help fill out the portfolio.
Unidentified Analyst: Understand. Thank you.
Operator: We will take our next question from Kit Konolige from BGC Financial. Please go ahead.
Kit Konolige – BGC Capital: Couple of kind of scattered questions. First the sale of Midwest gen, you're obviously aware that DPL withdrew their plans from the market. Does that affect what you're doing at all?
Lynn Good: No, Kit. Our process is been part of a strategic evaluation that we undertook at the end of last year continuing into this year and so we are moving forward with our decision, don't have any specific milestones to announce, except to say that process is continuing and we expect to close later this year or early 2015.
Kit Konolige – BGC Capital: Right and how about on the North Carolina pipeline, can you give us any detail of timing on that?
Lynn Good: No, we expect to finalize the review of the solicitation within the next few weeks, Kit and would make an announcement at that time.
Kit Konolige – BGC Capital: Okay, so that's obviously in – and how should we understand Lynn both with regard to the pipeline and to renewable investments? How should we assess Duke's degree of interest in either of those? I mean, are either of those areas going to become a major business segment or this one off type of investments?
Lynn Good: We think about the pipeline into North Carolina, is a very strategic investment for the company, Kit. We see it's being strategic not only the state of North Carolina but to electric supply and the State of North Carolina, as we continue to add gas. I think this will give us an important entry into pipeline and if you think back to the Spectra spin, Duke has had a history of interest in pipeline investment, but I'm not foreshadowing any strategic shift, what we'll focus on at this point is the North Carolina investment. I would say, the renewable have been a part of our story sometime. We continue to add to our commercial renewable business, as well as introducing renewables in our regulated jurisdiction. We see that as an increasingly important part of the portfolio and I think we mentioned in the call, that we have 400 MW of wind and 100 MW of solar under construction right now in support of our commercial businesses. Another 300 MW of solar, that we're negotiating under an RFP and North Carolina. So I would expect to see additional renewable investment in the years to come.
Kit Konolige – BGC Capital: All right and finally, in Florida, Steve you were talking about no red cases in the near future and so on, what I assume you're keeping an eye on the political situation down there. What would it do for your regulatory outlook in Florida, if Charlie Crist made another stunning come back here and became Governor again.
Lynn Good: You know, Kit that's a difficult question. We have to work with all stakeholders and all legislators, governors in our jurisdiction. So we are focused on running our businesses as well as we possibly can, we're also focused on making investments for the long-term value that we can deliver to our customers and we watch politics much like you do.
Kit Konolige – BGC Capital: As a spectator sport, that's how I watch it. I don't know about – obviously it's more important for you. All right, thank you very much
Operator: We will now take our next question from Paul Patterson with Glenrock Associates. Please go ahead.
Paul Patterson – Glenrock Associates: Just a some really quick ones, a lot of my questions have been answered, but the growth avenues, Jonathan asked you about specific potential acquisition, but I'm just wondering whether or not there is anything in general that you guys might be interested in or that you could share with us, that some general area that you guys might be, that sort of opened up, that you guys might be pursuing or?
Lynn Good: Are you referring to international?
Paul Patterson – Glenrock Associates: Yes, I'm sorry, yes I'm referring to international to growth, I'm sorry. Yes.
Lynn Good: Yes, we don't have a specific project that we'd point you to, one of the underpinning of the strategic review as we see headwinds in Latin America from currency and potential re-pricing that puts us in a position where the growth rate isn't as strong, as we like it to be. So we are undertaking the strategic review to look at all elements including growth and efficiency and utilization of cash, but we don't have any specific project that we would draw attention to today.
Paul Patterson – Glenrock Associates: Okay and then with respect to the coal ash legislation. There seem to be to sort of competing bills that were sort of buying for against one and another and I was just wondering, if there was any things, that we might have in terms of and I have realized that obviously, those are two potential outcomes and there could be obviously another outcome that could happen or not outcome I guess. I know you guys are working at, regardless you guys are sort of aggressively pursuing the cold ash situation, but how should we think about those potentials outcomes, I guess and what potential impact, it may or may not have on your projected growth rate, in earnings?
Lynn Good: Paul, what I would say is that the either the legislature has been delayed, I think it's difficult for us to speculate at this point about, either the timing of reconvening or the scope and approach of the legislature would take. I do think, there is a strong commitment on the part of General Assembly to get the legislation right and so they're being deliberate and thoughtful in their process. And we have given you some broad parameters around, how we think about the potential cost and the other things that I would indicate that you should keep in mind, with all of the ash, if this is going to play over a number of years. So even if you look at the existing profile of this Senate and House bills, there were targets over five years and 10 years and 15 years over deployment would be an over a very long period of time. So that's all I would say at this point and will of course keep you informed as progress occurs.
Paul Patterson – Glenrock Associates: Well, is it safe to say perhaps that within your, reach [ph] that you've given these outcomes would probably be within that range regardless of which one would happen or does that make sense, you got what I'm saying?
Lynn Good: Paul, I think you know getting back to this range of cost that we've included on Slide 40, so we have $2.5 million and this is just North Carolina, $2.5 million on one and $10 billion on another end. So the more expedition of ash, that could arrive will increase the cost. Again, timeframe is important five years, 10 years, 15 years to accomplish that. So I don't think, based on where we are right now. We can't give you any more specifics on, where we think it will end up, the legislation is been delayed and we will have more to report as it progresses.
Paul Patterson – Glenrock Associates: Okay, fair enough and I don't mean to focus too much on, but it seem to be, a lot of these costs would be rate peer oriented cost, right?
Lynn Good: We believe that cost recovery for ash is under the review of the Carolina's commission, but that again is something that would be addressed over time.
Paul Patterson – Glenrock Associates: Okay, thank you very much.
Operator: And we will now take our final question from Ali Agha from SunTrust. Please go ahead.
Ali Agha – SunTrust Robinson Humphrey: Just wanted to clarify couple of comments, you made earlier. First off, Steve for planning purposes that 32% to 33% tax rate in 2014, should we assume roughly the same in the next couple of years as well?
Steve Young: No, I wouldn't try to be that precise as we go forward. We'll have to take allot each year at what's in front of us in terms of our tax optimization strategies and we'll give that year-by-year as we have in the past.
Ali Agha – SunTrust Robinson Humphrey: I see, so directionally though it could go up or down, is the way to think about it?
Steve Young: Well, it could yes, it could move, I don't think it would move dramatically either up or down, but I don't have any insight as to which direction, it might move at this point.
Ali Agha – SunTrust Robinson Humphrey: Got it and Lynn, just to be clear maybe you've said that and I may have missed that, but in your international review of all the options you're looking at, is a complete exit from international one of the options or is that off that table?
Lynn Good: I said before Ali, that all options are on the table, but as we approach the strategic review. We did not approach it with exited mind. We approached it, with an objective of trying to optimize the portfolio to pursue cash and more efficient use of cash and growth. So we always look at everything but, more to come as we complete our work and targeting end of this year or early next.
Ali Agha – SunTrust Robinson Humphrey: Got it and my last question, also just to clarify, when you talk about exiting the merchant and using the proceeds and so net impact being accretive, is that net impact embedded in the 4% to 6% or could that be upside assuming everything goes as plan?
Lynn Good: It contemplated in the range, Ali if you look at, I believe it would have been in first quarter. It's also on Slide 45 of this quarter's deck, you'll see sort of the makeup how we get to 4% to 6% and redeployment of proceeds is potential item to consider.
Ali Agha – SunTrust Robinson Humphrey: Got it. Thank you very much.
Operator: I will now turn the call back to Lynn Good for closing comments.
Lynn Good: So thank you everyone for joining us today. We look forward to our third quarter call in early November and seeing many of you at the fall conference end of BEI [ph], so thanks again.